Operator: Good day, ladies and gentlemen, and welcome to the Super Micro Computer Incorporated fourth quarter and full fiscal 2011 Conference Call. We all know that today’s call is being recorded. The company’s news release issued earlier today is available from its Web site at www.supermicro.com. In addition, during today’s call, the company will refer to a slide presentation that it has made available to participants, which can be accessed in a downloadable PDF format on its Web site at www.supermicro.com in the Investor Relations section under the Events and Presentations tab. During the company’s presentation, all participants will be in a listen-only mode. Afterwards, the securities analysts and institutional portfolio managers will be invited to participate in a question-and-answer session, but the entire call is open to all participants on a listen-only basis. As a reminder, this call is being recorded, Tuesday, August 2, 2011. A replay of the call will be accessible until midnight August 17th by dialing 1-877-870-5176 and entering conference ID number 509-1441. International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer; and Perry Hayes, Senior Vice President, Investor Relations. And now, I would like to turn the conference over to Mr. Hayes. Please go ahead, sir.
Perry Hayes: Good afternoon and thank you for attending Super Micro’s conference call on financial results for the fourth quarter and full fiscal year 2011, which ended June 30, 2011. Before we begin, I’d like to advise you of upcoming investor conferences in which Super Micro will be participating. On August 31, we will attend the Midwest IDEAS Conference in Chicago and on September 14, we will attend ThinkEquity’s Annual Growth Conference in New York, where we will present and participate in one-on-one meetings. By now, you should have received a copy of today’s news release that was distributed at the close of regular trading and it’s available on the company’s Web site. As a reminder, during today’s call, the company will refer to a presentation that is available to participants in the Investor Relations section of the company’s Web site under the Events and Presentations tab. Please turn to Slide #2. Before we start, I’ll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro’s future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2010, and our other SEC filings. All of those documents are available from the Investor Relations page of Super Micro’s Web site at www.supermicro.com. We assume no obligation to update any forward-looking statements. Most of today’s presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to Slide #3 of this presentation, or to our press release published earlier today. In addition, our reconciliation of GAAP to non-GAAP results is contained in today’s press release and in the supplemental information attached to today’s presentation. I’ll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon, everyone. Please turn to Slide #4. First, let me provide you with the highlights of our fourth quarter. We are pleased that our fourth quarter revenue was $260 million or 11.1% higher quarter-over-quarter and 29.1% higher year-over-year. This result is a record high for Super Micro. Non-GAAP net income was $13 million or 5.9% higher quarter-over-quarter and 43.1% higher compared to last year. Super Micro’s non-GAAP earnings per share was $0.29 per diluted share, compared to $0.28 last quarter or $0.21 last year. Slide #5, please. In my comments today, I will have to discuss our results last quarter, whereas our achievements during the past fiscal year before providing some insight on our plans for the upcoming year. Last quarter was our best ever quarter for revenue, achieving a record high. In addition, we reached the significant quarterly run rate for $1 billion of annual revenue. The strong revenue came from faster growing sales of Storage, Blades, GPU and the complete Rack. We also saw a significant amount of complete system that make our total system products contributed over 40% of our revenue. Furthermore, 49% of our business last quarter come from OEMs and direct customers, especially internet data center, which were 16% of sales. We are pleased to see that our strategy of increasing sales of complete system together with a higher volume OEM and direct customers has been achieved. Last quarter’s margin primarily were affected by decision we made in the March quarter after the Japan earthquake to keep a higher stock of component inventory as a memory and hard drive in order to prevent supply disruption for our customers. Unfortunately, this quarter we saw a big decline in price for those components, and the while we have been able to reduce those components inventory. The lower margin affects our result. In fact, components of price continue to be weak even into this quarter, which defects the seasonal (inaudible) we saw in our industry. Total effect in our margin this quarter was the higher percentage of internet data center sales via our product in this market segment in strong demand and sales in high volume. This market is also highly accommodative and the margin can be a tighter. For the full fiscal year, we record our highest annual revenue ever and maintains our growth trend at EMEA 30%. Again, we outgrew the risk over the server market, which indicated that we continue to take a market share because of our strong product line, which we continue to improve last year. In particular, our year-over-year growth in Storage was 96%, for Blade it was 244%, and for GPU it was 72% growth. As you know this past year, we launched our Rack product line and we had seen excellent traction from our customers for these total solutions, which can be lowing to a data center and power up immediately. This right now can compete with our top order reg switch with 10-Gigabit Ethernet ability. In the near-term, our reg will be a shift with operating system loaded and combining our management software, which is now in field of testing with customers. Our strategies to continue to deliver more value-add in our system solutions. As we had discussed previously in the past fiscal year, we broke ground on our new Taiwan facility and pleased to report that the construction is on schedule and that we have made a significant progress. Strategically our Taiwan investment is important for several reasons. First, reduced production cost will enhance our margin. Second, reduced logistic cost to support Asia sales as well as the European sales. Third, our faster hand tool market, mainly as for Asia, but elsewhere due to the local helping of our Asia lenders. And fourth, reduced tax rate. So we have made a stronger move in fiscal year 2011 to invest in our future growth and a future profitability. We expect that we will move into the facility in data calendar year 2011 and begin production in the first half of 2012. The full benefit of our Taiwan investment will begin in fiscal year 2013. Last year, we continued to invest in our people growing our income by about 23%. That is the area we can grow occurred in sales and in R&D. We continue to grow income globally as we extend the reach of our sales force particularly in the Asia market. In addition, we grew sales to address new technology market. They are more suitable for application optimized solutions such as OEM and direct customers. For R&D, we invest for our future because now we have above this product line our history including Server, Storage, Blade, GPU, Rack, switch and management hardware. We are continuing to invest in our engineering talent in order to extend our technology leadership. As we look ahead to fiscal year 2012, we have been preparing for upcoming launch of impaired new processor core name Sandy Bridge. We have been investing in our technology to again be first go-to-market which the product maps and the season optimization than any of our competitors. We already have a significant number of favorable power supply in chassis design, testing and are ready for production. (inaudible) launch is expected to occur in Q4 this calendar year. We are ready with a certain pre-sale activities with key customers. We have also been working and developing two new product segments that will have a meaningful impact in fiscal year 2012 and beyond. First of all, we had built from the run up, our suite product line, that operate 1GbE2 and (inaudible) 10GbE (inaudible) and fiber channel over internet switch. This product line is now shipping in volume, and we have become an essential part of our complete rack and they are single solutions. Second, we have been continuously defining our server management software over the last few years. We started with Super Doctor, then IPMI and now we are nearing the launch of our SSM software, which is a Super Micro Server Management software. SSM is a software for management on power usage and server operations of small and largest scale into server deployment. SSM is part of our continuing strategy to strengthen our competitive position by providing small value to our customer with complete Super Micro solution. In summary, with our enhanced product line and now our switch and new season management software, we have improved that Super Micro brand is a complete solution-based company. As this put our know-how in volume production, we are confident that it will produce strong growth in 2012 and beyond. Slide #7 & 8, please. Also for 2012, we have some significant new developments and our new leading technology improved. First, our GPU optimize in product lines, 1U, 2U, 4U and Blade platform provide extreme performance in calculation-intensive applications, and have been the most of popular GPU servers in the market. While continuing the momentum of leading the market, our new generation document GPU server including 1U for GPU and 2U stick GPU to support already for volume production now. Our embedded 79, which are in low power, low noise and some of who have been optimized for a special server price and IPC, I mean Interchip PC applications. This new product line will bring us additional revenue from the new market segment. Our gateway system is a target at high end enterprise emission critical applications with the needs of huge memory capacity and tremendous computing power. The systems have been shift to some financial institute and university research desk. Our SuperRack simplify cable management and maximize air flow for complicated raw command configurations. It also allow easy access front and back optimize for our Twin and Double-Sided our storage architecture. Our cloud environment optimize 1G, 10GbE (inaudible) have been in high volume production. Our 10G, 24 power and 48 power SAP process and 10GbE switch for blade and standalone both, we have ability for production, and are in a leading position in performance and costs, as we enter 10G Ethernet (inaudible). Our new generation MicroCloud is just in production. The new position is (inaudible) with AA UP node. It’s a high density and high efficiency design make in optimize services for hosting and cloud applications in an extremely low power consumption configuration. Also, our remote with data center management and power management software is in formal better stage today. And we have been already for formal release later this year. This all the way makes it easier for our customer to manage their server and storage equivalents. In summary, fiscal year 2011 was a strong year of growth and profitability for Super Micro. We are truly a becoming global company with operation around the world. And we are very pleased to deploy for our 18th year that continue to our trend our strong growth in the profitability. For more specifics on the first quarter, let me turn it over to Howard.
Howard Hideshima: Thank you, Charles, and good afternoon, everyone. I’ll focus my remarks on earnings, gross margin, operating expenses and similar items on non-GAAP basis, which reflects adjustments to exclude stock compensation expense and include custom fees for prior periods. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company in today’s earnings release and in the supplemental detail in the slide presentation accompanying this conference call. Let me begin with a review of the fourth quarter income statement. Please turn to Slide #8. Revenue was a record $216.3 million, up 29.1% from the same quarter a year ago, and up 11.1% sequentially. The revenue for the fiscal year was a record $942.6 million, up 30.7% for the same 12-month period a year ago. The increase in revenue from last year was fairly widespread among our customer base and product lines. On a percentage basis Blade, Storage and GPUs were the fastest growing product lines which has been gaining traction for the last few quarters. The sequential increase in revenue from last quarter was primarily due to an increase in Internet data center sale. Our percentage basis storage and blade solutions were the fastest growing product line from the prior quarter. We continue to see traction in these products, which we invested in a few years ago and expect to see additional strong success from the new products such as the switch, software and for rack. Turning to product mix, proportion of revenues from server system was 40.4% of total revenue, which was an increase from 32.2% a year ago, and 31.8% last quarter. ASPs for servers was $1,800 per unit, which is up from $1,400 last year and last quarter. We shipped approximately 57,000 servers in the fourth quarter and 1,540,000 subsystems and accessories. While we continue to maintain a diverse revenue base with over 600 customers, this quarter we had one customer, which accounted for $0.11 of our quarterly revenues in the Internet data center vertical. The Internet data center revenue was 16%, which was an increase from 9.6% in the prior quarter. Furthermore, 63.2% of our revenues came from the US and 50.8% from our distributors and resellers. Slide #10 and 11, non-GAAP gross profit was $40.5 million, up 30.2% from $31.1 million in the same quarter last year, and up 6.3% from $38.1 million sequentially. On a percentage basis gross margin was 15.5%, up from 15.4%, a year ago and down from 16.2% sequentially. Price changes from Ablecom resulted in no change to gross profit in the quarter, with total purchases representing approximately 14.9% of total cost of goods sold, compared to14.7% a year ago and 20.3% sequentially. The year-over-year increase in gross margin resulted from an increase in sale of servers, which we have higher margin offset in part by decline in margins of subsystems and accessories. Sequentially, gross margins were down primarily due to the sale of additional memory and hard disc drives, which we bought in response to the Japanese earthquake and a higher percentage of internet data center revenues. The effect of the Japanese earthquake did not disrupt supply and we adjusted our inventories to reflect this. The Internet data center vertical is project-based and typically very competitive. Slide #12, operating expenses were $22.7 million, up from $18 million in the same quarter a year ago and an increase from $20.8 million sequentially. As a percentage of revenue operating expenses was 8.7% down from 8.9% year-over-year and sequentially. Operating expenses was higher on an absolute dollar basis year-over-year and sequentially. We saw year-over-year increases in absolute dollars, primarily in R&D as we continue invest in headcount to drive our innovation of our product portfolio. Sales and marketing also increased primarily due to the growth in headcount to support the growth and revenue and the marketing of new products. Sequentially, we saw an increase in operating expenses of about $1.9 million primarily due to sales and marketing expenses increased by 800,000 for headcount and trade show expenses support the growth of our products. In addition, R&D expenses grew about $800,000 related to less than our credit from our customers as well as engineering material write-offs associated with new product development. The company headcount increased by 61 sequentially to 1,272 total employees. We continue to control our operating expense to leverage our growth of the same time maximizing opportunities for investing in the future. Operating profit was $17.7 million, or 6.8% of revenues, up from $4.7 million or 35.7% from $13.1 million a year ago, and up 500,000 or 2.9% from $17.2 million sequentially. During the quarter we continue our building expansion in Asia, which is scheduled to be completed in late calendar Q4. The expansion of our capabilities will drive our built-in to service our customers and improve our operational efficiencies around the world. Until then we will be making investments in infrastructure, both facilities and headcounts in order to be able to effectively utilize new facility when it is complete. Net income was $13 million, or 5% of revenue, up $3.9 million or 43.1% from $9.1 million a year ago and up $0.7 million or 5.9% from $12.3 million sequentially. Net income for the fiscal year was $47.7 million, up 44.3% from $33.1 million for the same 12-month period, a year ago. Our non-GAAP fully diluted EPS was $0.29 per share, up $0.08 from $0.21 per share a year ago, and up $0.01 from $0.28 per share sequentially. The number of fully diluted shares used in the fourth quarter was 44,876,000. The increase in diluted shares was primarily due to the impact of options which were previously underwater offset in part by 414,000 shares which company retired by the company in exchange for payment of taxes due on the exercise of options. Our non-GAAP fully diluted EPS was $1.10 per share, up $0.32 or 41% from $0.78 per share for the same 12-month period a year-ago. The tax rate in the fourth quarter on a non-GAAP basis was 26%, compared to 30.2% a year-ago and 28.3% sequentially. The decrease in taxes was primarily due to the tax reduction created by the exercise and sale of expiring options during the quarter. We expect the effective tax rate on a non-GAAP basis to be approximately 34% for the September quarter, which is comparable to the 35.8% in the same quarter last year. Turning to the balance sheet on a sequential basis, Slide #13, cash and cash equivalents and short-term and long-term investments were $75.2 million, up from $73.5 million in the prior quarter and down from $79.4 million at the end of fiscal 2010. In the fourth quarter, free cash flow was a positive $4.4 million, which reflect $7 million payment of taxes due on expiring options for individuals and exchange for the 414,000 shares of stock, which was retired by the company. The net change in cash was a positive $1.8 million for the quarter. Slide #14, accounts receivable increased by $5.2 million to $85 million, and DSOs was 29 days, a decrease of two days from the prior quarter. Inventories decreased by $12.9 million to $192.7 million with days in inventories decreasing by nine days to 83 days. The decrease in inventory was due impart to some selling-off of some of the inventory accumulated as a result of the Japan earthquake. Accounts payable decreased by $15.2 million to $113.3 million with the days payable outstanding decreasing by 13 days to 51 days primarily due to the decrease in inventory. Overall cash conversion days were 61 days, an increase of two days from 59 days in the prior quarter. Now, for a few comments on outlook, as indicated previously during the fourth quarter we saw strength in sales across our broad product line, especially in Blade and Storage. We continue to see traction in these products which we invested in a few years ago and expect to see additional success from strong new products, such as the Switch, Software and full Rack. Geographically, we saw strength in Asia and the US but some weakness in Europe. However, September is seasonally a weak quarter for the industry. In addition, we are preparing for new technology launches from our partner. Therefore, the company currently expects net sales for the quarter ending September 30, 2011 in the range of $240 million to $260 million. Assuming this revenue range the company expects non-GAAP earnings per diluted share of approximately $0.23 to $0.27 for the quarter. It is currently expected that outlook will not be updated until a release of company’s tax quarterly earnings announcement notwithstanding subsequent developments; however, the company may update the outlook or any portion thereof at any time. With that let me turn it back to Charles for some closing remarks.
Charles Liang: Thanks, Howard. Well, we are pleased that 2011 was another year of success and growth for Super Micro. We now look forward to a strong fiscal year 2012. Our product line had never been better than they are today. With strong offering in Storage, Blade, GPU, Twin family and our new MicroCloud, we are continuing to invest in product development to extend our technology leadership. With the new potential architecture of Sandy Bridge, will be launched in a few months, and with our switch product lines as well as our server management software solutions, we are well prepared to continue our strong growth. Finally, we will be moving into our new Taiwan facility in a few months, which will begin new chapter for Super Micro, both in Asia and global. Therefore, we begin fiscal 2012, we are well-positioned to execute our strategy to grow our revenue, opportunity and sales and to improve our profitability in the upcoming years. Operator, at this time we are ready for questions.
Operator: (Operator instructions) We’ll go first to Mark Kelleher with Dougherty & Company.
Mark Kelleher: Great. Thanks for taking the question. Is it possible to split out the effect of the gross margins between the inventory pricing and the data center product mix? Is that possible with the effect of each?
Howard Hideshima: Yes, the majority of that came out of the inventory.
Mark Kelleher: Okay. This is my follow-up question. As we look forward on the gross margins, how much of that inventory effective going to continue if we assume the prices are in components where they are? What’s the effect going to the next few quarters?
Howard Hideshima: They will more likely we did most of it during the quarter than last quarter, but there’s still some and they’ve been very dependent upon the pricing that comes.
Charles Liang: Some influence for September quarter, but not as much as last quarter hopefully.
Mark Kelleher: Okay, that’s good and thanks, bye.
Operator: And next we will go to Glenn Hanus with Needham & Co.
Glenn Hanus: Good afternoon. You gave a pretty fairly wide range on the revenue. Could you maybe discuss, if you were to be sort of in the lower half of the range, what would be the circumstances that would be, and then kind of the upper half of the range, what would be some of the assumptions underlying that outcome?
Charles Liang: Yes, Glenn, I mean that meanwhile we give out the wider range because there are some uncertainty of Sandy Bridge route because we didn’t know exactly how soon that product will be in high volume. So we try to be more conservative in offering a big range. So it was available earlier for sure our number where we paid over September.
Glenn Hanus: So just my follow-up then on the Sandy Bridge launch, are you thinking that it has versus what you are expecting a couple months ago has it slipped out, and can you sort of quantify the slip?
Charles Liang: At this moment, we heard us there Q4, but how did Q4 will be (inaudible) at this moment. But our product had been pretty ready though. So once the CPU chips are ready, we are ready to go.
Glenn Hanus: Okay. Thank you.
Operator: And from Stifel Nicolaus we’ll go to Aaron Rakers.
Aaron Rakers: Yes, tanks, guys. Two questions I guess. I want to go back to the gross margin number, just so I’m clear, can you help me understand the sequential change in your systems gross margin, because I think you guys have made a comment that the incremental mix 16% coming from Internet data center clearly drove gross margin down. So I’m curious are you telling us that the systems gross margin was essentially flat sequentially, or was that down a couple hundred basis points? Any clarity there would be helpful?
Howard Hideshima: Yes. Aaron, this is Howard. With regard to the gross margin, yes, the several gross margin themselves generally higher than our overall subsystems and accessories. As I talked about the memory and hard disc drives again that, that kind of permit both the server margins and the accessories and subsystems, because obviously either sell it separately to some of our partners or you put it into the system, so that effect on both. The second point we brought up was basically the Internet data center. That’s a very competitive area of the market. I think if you go back historically there are times when we’ve had higher percentages of our sales in that vertical and that we have taken some margin hit because of that.
Aaron Rakers: And kind of keeping with that at 16% of revenue clearly, that’s on a significant growth trajectory, albeit lumpy in project-driven. How do we think about the contribution as we move forward and kind of thinking about that as well on a gross margin line? I mean do we expect to continue growth from here, what’s your assumption for this next quarter and looking forward as far as contribution?
Charles Liang: I believe it’s our interest to continue to grow. There are (inaudible) business. However, our Asian operation, kind of our Taiwan facility will be ready in next few months. Once that ready for sure that will lower our cost and we are obviously making that happen.
Aaron Rakers: Okay, thank you.
Operator: Next we’ll go to Rajesh Ghai with ThinkEquity.
Rajesh Ghai: Yes, thanks. On the Internet data centers, are you selling systems or is that subsystems and how much lower is the gross margin for work systems, subsystems or the Internet data centers?
Howard Hideshima: Yes. Rajesh, this is Howard. Again, Internet data centers are primarily our full servers. Okay, we use to put the boxes in for them and then ship them out to. With regard to servers versus subsystems and accessories, on an overall basis, we sense there it could be as much as a 5%-10% gross margin differential between the two categories.
Rajesh Ghai: Okay. And can you update us on the specific timing of the Taiwan facility coming on stream, and when it’ll be fully ramped and also if you could talk about the utilization rate of the Netherlands facility and when you expect that to be fully ramped? Thank you.
Charles Liang: Yes, we start our Netherlands facility about 18 months ago. However, European markets will be solved in another six months, so that kind of slower our utilization of our Netherlands facility. And also Asia, again Asia market is growing quickly but our Taiwan facility won’t be fully ready in about four to five months to go. So after that for sure, once our utilization becomes higher in both Europe and Asia the growth margin will improve.
Rajesh Ghai: Thank you.
Operator: From Sterne, Agee we’ll go to Alex Kurtz.
Emily: Good afternoon. This is Emily in for Alex today. Thanks for taking the question. In terms of your gross margin line outside of structural changes you are making to the supply chain to improve the margin, which new products are you seeing that will help drive margin outside the most in the next year or so?
Charles Liang: I guess, GPU we continue to have slide, and storage, we continue to have a storage part of that going quickly and switch is relatively a new product line and that product line which you have a much better margin.
Emily: Okay, great. And then I have my follow-up, could you give us some color on your expectations of OpEx growth quarter-over-quarter from June to September, are you seeing that is roughly flat or growing? Thank you.
Howard Hideshima: We can keep in good control of our OpEx expenses, we go to annual review cycle for employee base in September and we will see some expenses for payroll, but generally, we kept it fairly close to what our percentage of revenue has been in the past.
Emily: Okay, great, thank you.
Operator: It appears at this time there is no further questions. I’d like to turn the call back over to Mr. Liang for any additional or closing comments.
Charles Liang: Thank you for joining us today, and we look forward to talking to you again at the end of this quarter. Thank you, everyone. Have a great day.
Operator: Thank you. Ladies and gentlemen, that does concludes the Super Micro fourth quarter fiscal year 2011 conference call. We do appreciate your participation. You may now disconnect at this time.